Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Liberty Media Corporation 2018 Q1 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded, May 9. I would now like to turn the conference over to Courtnee Chan, Senior Vice President of Investor Relations. Please go ahead.
Courtnee Chan: Thank you. Before we begin, we’d like to remind everyone that this call includes certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including statements about business strategies, market potential, new service and product launches, discussions involving IR communications, plans for the Battery Atlanta, matters relating to Formula One including future financial performance, expenses, brand expansion, including internationally, the launch of F1 TV Pro and other digital initiatives, new races, experience improvement, merchandizing, sponsorship, promotion and television and other matters that are not historical facts. These forward-looking statements involve many risks and uncertainties that could cause actual results to differ materially from those expressed or implied by such statements, including without limitation, possible changes in market acceptance of new products or services, the ability of our businesses to attract and retain customers, competitive issues, regulatory issues, and the availability of capital on terms acceptable to Liberty Media. These forward-looking statements speak only as of the date of this call and Liberty Media expressly disclaims any obligation or undertaking to disseminate any updates or revisions to any forward-looking statements contained herein to reflect any change in Liberty Media’s expectations with regard thereto or any change in events, conditions or circumstances on which any such statement is based. On today’s call, we will discuss certain non-GAAP financial measures, including adjusted OIBDA of Liberty Media and adjusted EBITDA of SiriusXM. The required definitions and reconciliations, Schedules 1, 2, 3 can be found at the end of the earnings press release issued today, which is available on our Web site. This call also may include certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 regarding Liberty TripAdvisor Holdings. These forward-looking statements involve many risks and uncertainties that could cause actual results to differ materially from those expressed or implied by such statements. These forward-looking statements speak only as of the date of this call and Liberty TripAdvisor Holdings expressly disclaims any obligation or undertaking to disseminate any updates or revisions to any forward-looking statements contained herein to reflect any change in Liberty TripAdvisor Holdings’ expectations with regard thereto or any change in events, conditions or circumstances on which any such statement is based. Now I would like to introduce Greg Maffei, Liberty’s President and CEO.
Greg Maffei: Thank you, Courtnee. Good morning to all of you. Today speaking on the call, we will also have Liberty CFO, Mark Carleton; and Formula One’s Chairman and CEO, Chase Carey. We and other members of management team will be available to answer questions at the end of our prepared remarks. Also we will be available to answer questions on Liberty TripAdvisor. Starting with Liberty SiriusXM, during the quarter we initiated our repurchases of Liberty SiriusXM stock fueled by our last quarter’s exchangeable net debt offering, and we bought back 100 million shares as of April 30. We effectively bought the SiriusXM at a lesser price of $4.36 a share, which we consider pretty darn attractive. On iHeart, we own today about $660 million of bonds and we remain interested in the company at the right price. Turning to SiriusXM itself, I’d note that they had very strong first quarter results, beating consensus pretty much across the board. Revenue was up 6% to $1.4 billion, self-pay net add subscribers were up $1.56 million and our ownership, as of April 23 stood at 70.6%. It didn’t increase that much during the quarter as fewer purchases at SiriusXM as they described were somewhat slow due to the rising stock price, a high-quality problem. Looking at the Formula One group, we’re off to an exciting start to the 2018 season. Through four races we’ve had three different drivers from three different teams win races. We continue to see more overtaking and more drama on the track. We are continuing our discussions as Chase will outline further with the teams on changes to the sport to build further excitement in the years ahead. The planned launch of our OTT product will be this weekend at the Barcelona Grand Prix. And we recently outlined plans for a hot Miami street race in October 2019. Live Nation had another outstanding quarter. Revenue was up 19%. All divisions, concerts, sponsorship, ticketing were delivering double-digit operating income and AOI growth. Mobile ticket sales notably now account for almost 40% of all ticket sales, and conversion rates improved by over 20%. After the quarter’s end, we announced the acquisition of a controlling interest in Rock In Rio, the second highest grossing festival globally in 2017. In the Atlanta Braves, we had impressive on-field performance with a 20 in 14 record as of last night’s game. And we remain in first place in the NL East. Notably the team is number one in the National League in batting average, runs scored, hits, slugging percentage, and on-base percentage. We also have the three youngest players in baseball all having major impact, Ozzie Albies, Ronald Acuna, and Mike Soroka. Rona Acuna became the youngest player to homerun for the Braves since Andruw Jones in 1997. Season today’s attendance at games is up over 5% versus last year, and the Battery development continues to perform and draw fans and businesses. We recently announced plans for the sale of our residential development. Over at Liberty TripAdvisor, Trip killed it, great quarter. Continuing on the company’s strategy providing travel values over the 400 million unique visitors we have each month. We have been reducing our reliance on the competitive hotel segment, increasing our native ads and growing our exciting experiences in restaurant businesses. Consolidated revenue was up 2%, adjusted EBITDA was up 10%. The Hotel segment results showed a combination of auction stability, product enhancements, and optimized paid marketing, notably revenue per mobile hotel shopper was up over 20%. We also continue to experience very impressive growth in the non-Hotel segment driven by experiences and restaurants. We were much focused in those areas on growing our supply of offerings. These solid Q1 trends extended into Q2, and we now expect to deliver year-over-year consolidated adjusted EBITDA growth in 2018. With that, I’ll turn it over to Mark Carleton for more on our financial results.
Mark Carleton: Thank you, Greg. On the financial side, at quarter end, Liberty SiriusXM Group had attributed cash and liquid investments of $579 million, excluding $79 million of cash held at SiriusXM. The value of the SiriusXM common stock held at Liberty SiriusXM, as of May 8, was $21 billion. And we’re now just short of $1.15 billion in debt against these holdings, including our new exchangeable debentures. We increased our borrowing capacity under the SiriusXM margin loan for future investing and general corporate purposes, it was at $1 billion, we took it up to $1.35 billion, but no additional amounts were drawn. Formula One Group had attributed cash and liquid investments of $130 million excluding $140 million of cash at F1, Formula One Group holds public market securities with a market value of approximately $3.7 billion as of May 8, including the inner group interest in the Braves Group; with $2.3 billion of attributed debt excluding the debt at F1. Braves Group had attributed cash and liquid investments of $114 million. At quarter end, Liberty SiriusXM Group had an attributed principal amount of debt of $8 billion which includes $6.9 billion of debt at SiriusXM. Formula One Group had an attributed principal amount of debt of $5.4 billion which includes $3.1 billion of debt at F1 and the Braves Group had an attributed principal amount of debt of $603 million. F1’s total net debt to covenant OIBDA ratio as defined in their credit facilities was approximately 6.8x, as of March 31, which is down from the 7.1x as of year-end. Our maximal allowable leverage ratio is 8.7x. We set a target of around 5x to 6x OIBDA, and those leverage ratios are for the Formula One business, not for Formula One Group. Chase will talk a little bit more about what’s going on at Formula One in a minute. In the press release we’ve included some Formula One Q1 pro forma financial information. As we talked about previously, these numbers could vary quarterly, and that can impact the comparability from year-to-year. This happened in the first quarter of ‘18 due to the total number of number of races this year, and our proportional recognition of revenue over the course of the year, as well as F2 revenue and costs. Ideally it’s best to look at the business on an annual basis where you can. Additionally this year we adopted the new revenue recognition accounting standard relating to certain number of our contracts. We expect the adoption of this standard will be neutral to our results on an annual basis. And with that, I’ll turn it over to Mr. Chase Carey.
Chase Carey: Thank you, Mark. We are four races into our 21-race 2018 season. And as Greg noted, it has been an exciting start to the year on the track, with three different drivers in three different teams winning races. We head to Barcelona this weekend to begin the European part of our schedule, with nine European events as well as our Montreal event between now and early September. It’s also been a busy start to the year for our overall business as we continue to move forward on a wide range of key initiatives to build the long-term value of Formula One. On the motorsport side of our business we have advanced discussions with the teams on the long-term structure of the sport. The key areas of focus include the cost of running a team, revenue distribution, the next generation engine, the aerodynamics of the car, and simplification of rules and regulations. Our goal is to put in place a structure that makes the sport more exiting and compelling for fans and a healthier business for those in Formula One as well as potential new entrants. On the commercial side of our business we’re moving forward with a wide range of initiatives in the digital front. This week we will launch our inaugural live Grand Prix over the top product called F1 TV Pro. This product is a work in progress, and we’ll continue to add features like Formula Two, Formula Three, expanded data and archives. We’re very excited to move forward with this important new dimension to our business. We also continue to improve our products. This summer, as part of our efforts to connect with fans, we’ll re-launch the F1 app, called F1 Access. We will launch a new responsive web platform and build new ways to monetize that engagement. Social media also continues to grow as part of our fan engagement with growth across all our major platforms. For example, on Facebook, we added more followers to date in 2018 than the NBA or NFL. We’re also building new digital experiences through initiatives like our recently announced agreements with Netflix and Twitter that will increase ways fans connect to our sport while building new revenue streams for us. While digital is clearly a critical area of growth, we’re also addressing renewals of traditional TV agreements in working with existing broadcasters to enhance our relationship. This season, we also upgraded our core broadcast production with new graphics, sound capabilities, camera angles, and more to bring a fresh energy and excitement to our TV experience. On the promoter front, we’re firming up our rate calendar for 2019, and working on some exciting potential additions to the calendar in the next few years in iconic destination cities that would capture the world’s imagination. We continue to build a spectacle around our event with an expanded number of fan festivals in city centers, and an increase in the breadth and quality of activities for fans at our fan zones at the tracks. We hosted our first fan festival this year in Shanghai last month with great reviews. The Paddock Club has a fresh and exciting new energy and we’re working hard to expand the breadth of hospitality offers, offerings while building a capability to more effectively market these offerings to host country businesses. New consumer offers like F1 experiences are high end package offering for fans is also really beginning to hit its stride. In the sponsorship area, we’ve successfully completed expanded renewals with a number of key sponsors in the last few months and are actively engaged with a wide range of new sponsors as we move forward in growing our sponsorship portfolio to its true potential. We are providing sponsors new and exciting ways to activate and engage fans and using tools like regionalization and virtual signage to increase our ability to monetize and tailor offers for sponsors. We’re also expanding the sponsorship inventory in areas such as eSports, Fan festivals in digital. And we were pleased with the Heineken sponsored efforts fans Festival this year in Shanghai. We’re also moving forward in building our businesses in the U.S. and China; the world’s two biggest markets where it is for expected to be all upside for us. In China we completed new agreements with CCTV and Tencent in the last couple of months to greatly expand our reach for active discussions with strategic partners in China to enable us to drive our overall business forward. In the U.S., as Greg noted, we announced last week there were in discussions in Miami to bring a race to the heart of that city next year in our new agreeing with ESPN as well as expanded digital initiatives are providing momentum to our growth opportunity in the U.S. These markets will take time to reach their potential but we continue to be incredibly excited about the future in both. The list of initiatives goes on, we completed agreement with Fanatics [ph] and will launch a great new consumer merchandising experience for fans in Barcelona. Our eSports competition launched its second season this spring with participation well up from last year and we now have nine of our 10 teams participating. We are headed towards the final later in the year in a raid in London. The Hot Laps product at our tracks is that a great new dimensions to our high end fan experience that is proving to be both a fan and commercial success. Our play-on fantasy agreements had launched another leg to ever increasing range of fan of engagement experiences. In addition to our operating initiatives, we’re also continued to address our balance sheet and cash flows. For example in the quarter we paid down $200 million in debt and decrease the margin over LIBOR to 2.5% from 3%, if early days for us overall and we’re still largely building the foundation for the future. Nonetheless we’re excited as ever about two months our momentum and believe we’re on track to achieve our long-term goals. With that, I’ll turn it back to the folks in Denver.
Greg Maffei: So, thank you Chase, and I want to thank everyone for joining us. I think with that operator, we are ready to open up the questions.
Operator: Certainly. [Operator Instructions]. Our first call will come from Bryan Kraft with Deutsche Bank. Please go ahead.
Bryan Kraft: Hi, good morning. Thanks. I have a question on broadcast revenue. In the earnings release you attributed a decline in broadcast revenue to having one more race in 2018 versus 2017. In order for the per race revenue to be down year-over-year, that would mean I think a total of 2018 broadcast revenue, growth is going to be less than 5%. I guess I just wanted to see if that conclusion is correct or if there is some other cause for the broadcast revenue decline that maybe wasn’t mentioned in the press release? Thanks.
Greg Maffei: Chase, you want to take that or you want us to try?
Chase Carey: I guess it’s a little bit in the weeds in the percentages. I’m not sure the math. I mean it is 21 versus 20, you know dynamic that factors into what gets recognized, but I guess I mean if the math works out, the way the math works out, I don’t – I think essentially broadcast revenue is recognized largely across races. We have won more races this year. So it was 120 at last year, its 121 this year, and I think the math works out to what the math works out to.
Greg Maffei: I guess I’d also note these contracts are lumpy, so overall we do have some increases coming. Some of them take a while to kick in.
Bryan Kraft: I mean Greg and Chase to follow-up there, I mean are you saying that over the course of the season some of the renewals in 2018 will kick in and therefore we’re not necessarily seeing a full per race run rate in the first quarter?
Chase Carey: No, I think the lumpiness would be more annual than within. We mostly renew contracts – the contracts are renewed for the start of a season. So I think the lumpiness is more when are the annuals – as you are trying to extrapolate annual increases, the lumpiness comes more from when our contracts being renewed year-to-year and not within a year.
Greg Maffei: Right. But as you know Bryan, we are not here to give guidance on that. Thank you.
Bryan Kraft: Understood. Okay, thanks.
Operator: Thank you. Our next question will come from Vijay Jayant with Evercore. Please go ahead.
Vijay Jayant: Thanks. For Chase, obviously you are going through these negotiations for the 2021 season. Can you just help us understand, I mean with all these various facets to these agreements, will it all come out together or will they be at the World Motorsports Counsel, then we’ll know on Indian specification versus team economics and the like? Just trying to understand when will we have more sort of clarity on that? And if you could help us on how TV viewership for Formula 1 was through 1Q given the new feature, it will be very helpful. Thank you.
Chase Carey: Sure. Yes, I mean in terms of the timing of these discussions with the teams, I guess in general we’d like to sooner rather than later. I’m not going to give a deadline. Some aspects of it actually really won’t have an effect till 2021. It doesn’t mean we won’t - I think we’d, for planning purposes, for everybody’s sake I think we’d love to obviously get it done much earlier. There are aspects of it that realistically have to be resolved much earlier. I guess outside the engine, the new engine that’s being one in particular, just the lead on of the R&D and the work in developing an engine really means that sort of needs stuff. You know and of course midyear, these things are somewhat interrelated though, you know clearly not all completely interrelated, but I think we have this as a priority. Our goal is to move forward as quickly as possible. We’re engaged with all the teams, both as a group and individually, because it’s difficult and you have to may get a room sometimes, you know the conversations be it circular. But I think we’re actually making good progress on it, and certainly plan to try and address things as quickly as possible. But it may not have everything addressed with one big bell wrapped around it, because as I said, there are things that probably have longer lead times than others though, I think for the sake of planning and looking to the future. We looked to get things resolved in the short-term not the long-term. TV viewership in the first four races is down a touch, down mid single-digits. It’s really driven – the down is driven by two factors, you know really two countries. Italy where we’ve moved platforms from probably being more free to a bit more paddy. So that probably had the biggest impact and Brazil is a country that without fully be [inaudible] racing, so he was our Brazilian driver has it impacted leadership there. I see the majority of our countries – they take the top 20 countries, the majority of those are up, but the impact in those two markets brings it sort of down mid single-digits.
Vijay Jayant: Alright, thanks so much.
Operator: Thank you. Our next question will come from David Karnovsky with JPMorgan. Please go ahead.
David Karnovsky: Thank you. Just a follow-up to that last question Chase, can you just talk about what type of response you received from any fan research you’ve done or just also your sponsor partners to the fresh TV product that you put out?
Chase Carey: It’s actually been great. I mean you’re never going to get 100%. People get use to things they’ve had for years and so, I think we recognized it’ll always be a degree of a mixed bag, but overall the response to the wide range. I was just reading an article an hour ago on graphics packages and some researches that came back really positive on that and sort of particularly I guess it was on the newest feature where we’ve put some data on top of the halo. But the general reaction to things I was talking about, whether it’s the graphics, the sound, the camera angles, the reaction to, you know the season in general has been for us really encouraging. I think we feel good about the reception and the response we’re getting from fans in most of the research that we are doing.
David Karnovsky: Okay. And then just regarding the potential Miami Grandprix, you know given you’d be working with the new race promoters, is there anything different about this partnership that you try to structure relative to some of your legacy deals? Thanks.
Greg Maffei: So every deal is unique and you know this deal is not going – I mean realistically you know, this isn’t a done deal yet. We obviously have some steps to go through, but yes, each deal is unique, and I think we knew going into the U.S. market, which is sort of more like a developed market, . You’re going to have unique aspects to it. But that would be true for other agreements we have in other places. I mean everybody assumes these deals to be sort of a one-note song, and realistically there are always a lot of moving parts around sponsorships and hospitality and other components that go into it, different economics, industry races, the track. So they are unique, but not – it actually is a structure that we think is one that gives us a really exciting race, both as a fan proposition and a business proposition. We think this really, and if it goes well, you know we believe it’s going to happen and we hope it’s going to happen and we think this race could probably be a real signature race for us on the schedule.
David Karnovsky: Thank you.
Operator: Thank you. We’ll now move to Barton Crockett with B. Riley FBR. Please go ahead with your question.
Unidentified Analyst: Hey guys, this is [inaudible] on for Barton. Thank you for taking my question. I have one for Chase and one for Greg. For Chase, on F1 passing through some more Ferrari’s, the commentary, it seems like you guys are making some good progress on negotiations with them. Can you just give us a little bit more color on what you’re seeing, where you’re going with the teams, and kind of what is still a roadblock? And then for Greg, if you could provide us with an update on your discussions for acquiring a 40% stake in iHeart. I know this is something that you’re still exploring or is it off the table for now and then. If you could provide any updates on the rationale for that investment and if you got any new learning’s, that would be great. Thank you.
Chase Carey: I guess on the discussions, I don’t want to say too much. I mean guess we’ve said in general in the past. I think these types of discussions, negotiations, what you want to call it, are best had in private and described – done in private, not done in public, and explained when you get through it. I think sport over the recent years has been under served by trying to negotiate too often in public and posture things in public. So I don’t want to get into the weeds. I guess what I would say is you know realistically I think we have a broad based agreement on the basic. I think everybody agrees to sort of the basic goals and the basic structures. I think the discussions therefore become more the compromises in the specifics as you go through it, as opposed to broad philosophical direction. So I think we – I think there is agreement on the philosophical direction that we’re putting forth. But clearly there are different views as you get into the specifics that are involved in any one of those components.
Unidentified Analyst: That’s great. Thank you.
Greg Maffei: On iHeart, I think the process is evolving as they go through their Chapter 11 proceedings. Creditors are gaining an understanding of what they are proposing to buy. I think at some point they are going to re-engage with us, and if the price is attractive, as I said we would be interested. And the rational for that is there are both – I think some opportunities around radio and still having terrestrial radio that are synergistic; some of the assets that we have, including Sirius and Sirius’s investment in Pandora. I think they are both synergies on the revenue side and on the cost side potentially and iHeart is an attractive free cash flow generator. At the right price and combination with those other factors, I think it will be added into our music holdings.
Unidentified Analyst: Great, thank you very much guys.
Operator: Thank you. John Tinker with Gabelli Funds has our next question. Please go ahead.
John Tinker: Hi, thank you. Just changing companies a minute, we have a lot of upgrades. Could you just give us some idea as to what you might get from the sale of the residences? And are you thinking about selling more assets? And also, I know it’s a very small state, but you still actually have a piece of BAMTech. Is there any value there or is it so small it doesn’t matter?
Mark Carleton: Well, I think on the – this is Mark Carleton, on the residential side we are going through a process and we certainly haven’t gotten to the point in that process where we are talking about ranges of dollars, but certainly the areas, the ranges we’ve discussed are pretty accretive, and I think in general as we look at those projects down at the battery, to the extent that we think it makes the most sense to sell those off to our partners or others, we’ll certainly look at those if it’s logical and accretive to us. So far we are performing well above I think what our projections have been on lease up, and on revenue, and on activity down there, so it’s going very well. But obviously being able to maintain the look and feel of SunTrust Park and the entire Battery and the experience for fans is key. But we will be opportunistic as some of these projects get closer to completion and get fully online.
Greg Maffei: If I could just add a little – we think that Battery combined with the Braves is a unique live experience. Our strength comes from developing interesting opportunities around that including residential, including office, including the live nation music centers, that music environment we have there, all of those things. But we don’t really necessarily see ourselves as long-term holders of real estate assets. We see ourselves as people developing interesting opportunities.
John Tinker: And the BAMTech, because you seem to be spending a lot of money and I think you still own a small piece at the backend.
Greg Maffei: Yes, I think that’s really being driven at the board level of MLB and we’re tailing that. We did receive as you know capital RD from that. I think we are very happy with the price that Disney paid us for that asset and we are enthusiastic to receive the backend. I don’t think it’s been disclosed how much the value that is going to be yet.
Chase Carey: Correct.
John Tinker: Thank you.
Greg Maffei: Thank you.
Operator: Thank you. Our next question will come from Brandon Ross with BTIG. Please go ahead.
Brandon Ross: Hi. Thanks for taking the questions. Two: first, NASCAR appears to be for sale. Just curious Greg and Chase to get your thoughts on that asset. And then on the Liberty Sirius discount, you bought back what $100 million over the last three months, but the spread continues to widen. What’s the path from here? How do you think you can effect change in that spread? And I guess related, if Siri was willing to do an RMT, would you be open to that at this point or do you see an eventual GCI-type transaction there? Just like to know your thoughts. Thanks.
Greg Maffei: Chase, you want to go first on NASCAR?
Chase Carey: Yes, well I guess first and foremost I’m focused on priority one for us, Sirius, is really getting Formula 1 to where we think it can and it should be over the next couple of years. So we are not trying to put blinders on, but I think we feel we have an opportunity to take this business to another level and you know if that is what’s driving it – and NASCAR is a fairly different franchise for us. If you look at the fan base, the regionalization of it in the U.S. is not really even broad-based to U.S. sport. I think people – we both race cars. I’m not sure beyond that if there’s a lot that sort of would really make it a natural fit for us. It would certainly give a scale in the U.S. and we could use that scale to build, but I think there are probably more differences than similarities in that and I think for us our priority is really making Formula 1 everything it can be, and focusing on things that would really strengthen Formula 1 in a unique way. Liberty may have a different perspective. They acquire more businesses than we do. As I said, I’m only worrying about one business which is Formula 1 and I think there are limits to which degree that fits in a way that would really make one plus one as you know there and it was probably – probably my take on it, although again the guys in Denver look at more businesses than we do, so maybe have a different view.
Greg Maffei: But we are largely in agreement with Chase. I think it’s not as clear what the synergies are between the two assets and I would know, you know the trends have not been perfect with NASCAR unless we had a good thesis on how and why we could fix them, it’s not as obvious to us. On the second point about the discount, we are taking advantage of that. I know we bought back stock. I would expect that we will buyback more stock and we will continue to take advantage of the market once they give us that of a discount. Is there a GCI transaction or RMT out there? Maybe, but I don’t see that as you know there is a silver ball in any of this. There is a – we do think that we think are logical and fit and if the market wants to give us the stock at discount we are going to continue to buy it back and take advantage of it. You may know that Siri bought less back of their own and we bought more back here to speak to something about what is the combination of their stock price and our discount, so we’ll see.
Brandon Ross: Thank you.
Operator: Thank you. Our final question today will come from Jason Bazinet with Citi. Please go ahead, sir.
Jason Bazinet: Just had a question for Mr. Maffei. I’m asking you a question that’s really one that I should be able to answer, but I can’t. Do you have a hypothesis in terms of why the sort of customary, the fiduciary discount became uncustomary this year?
Greg Maffei: I think – Jason, thank you. We talked about some of this in the past related in general to the supply where there is now currently a far larger market cap at Liberty Sirius than there is at Sirius. Sirius has been a far larger consumer of its own stock than we have of Liberty Sirius. My understanding is that there have been a number of other type situations where hedge funds have not had success and have had to blowout their positions, including potentially this one, which may have widened the spread. The fear that we might utilize Liberty SiriusXM currency to overpay for and dilute ourselves by purchasing SXM stock, all of those I think are potentially factors you could point to and why it has widened is probably the number three. Yeah, I’ll just – I think one thing I’ll point out, there is no borrow on the shares, which is another thing exacerbating some of the internal mechanics around, why people are not harboring that discount. But as I noticed, well Jason you know to agree if people want to give us that stock at a discount, we’ll likely continue to take advantage of it and we’ve been sometimes collaborating and finding way to take advantage of it in better ways like the GCI transaction.
Jason Bazinet: Do you think the potential purchase of iHeart is part of it? I other words your going from a tracker discount to tracker plus complexity pro forma?
Greg Maffei: That’s a decent thesis. I think you should – that wouldn’t be just with us. I think however that ends up, it’s not like we are going to do an iHeart transaction apart from Sirius. We bought the debt because that’s something we do, probably with more efficiency and more regulatory than Siri. But all of our actions there are fully coordinated with Sirius. It would not be like we are going to do this thing on a standalone basis.
Jason Bazinet: Thank you very much.
Greg Maffei: That’s the last question for the day. Thank you all for joining us. We look forward to speaking with you next quarter if not sooner.
Chase Carey: Alright, take care.
Greg Maffei: Thanks Chase.
Operator: Thank you. That we will conclude today’s event. Thank you all once again for your participation, and have a wonderful day. You may now disconnect.